Operator: Good morning. My name is Rex and I’ll be your conference operator today.  At this time, I would like to welcome everyone to the Nordson Corporation’s Third Quarter Fiscal Year 2022 Conference Call.  All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, again press star, one. Thank you. Ms. Mahoney, you may begin your conference.
Lara Mahoney: Thank you, good morning. This is Lara Mahoney, Vice President of Investor Relations and Corporate Communications. I’m here with Sundaram Nagarajan, our President and CEO, and Joseph Kelley, Executive Vice President and CFO. We welcome you to our conference call today, Tuesday, August 23 to report Nordson’s fiscal 2022 third quarter results. You can find both our press release as well as our webcast slide presentation that we will refer to during today’s call on our website at www.nordson.com/investors.  This conference call is being broadcast live on our investor website and will be available there for 14 days. There will be a telephone replay of the conference call available until August 30, 2022.  During this conference call, references to non-GAAP financial metrics will be made. A reconciliation of these metrics to the most comparable GAAP metrics was provided in the press release issued yesterday. Before we begin, please refer to Slide 2 of our presentation where we note that certain statements regarding our future performance that are made during this call may be forward-looking based upon Nordson’s current expectations. These statements may involve a number of risks, uncertainties and other factors as discussed in the company’s filings with the Securities and Exchange Commission that could cause actual results to differ. Moving to today’s agenda on Slide 3, Naga will discuss third quarter highlights. He will then turn the call over to Joe to review sales and earnings performance for the total company and the two business segments. Joe will also discuss the balance sheet and cash flow. Naga will then share a high level commentary about our enterprise performance, including an overview of the CyberOptics acquisition announcement. He will conclude with a review of the fiscal 2022 full year guidance. We will then be happy to take your questions. With that, I’ll turn to Slide 4 and hand the call over to Naga.
Sundaram Nagarajan: Good morning, everyone. Thank you for joining Nordson’s fiscal 2022 third quarter conference call.  Before we begin, I’d like to congratulate the Nordson team for delivering another record third quarter. As you may recall, we reported record sales and profitability in the third quarter of fiscal 2021. The fact that the team delivered above this result is a true testament to our differentiated precision technology, customer-centric model, effective deployment of the NBS Next growth framework, and the dedicated Nordson employees who are driving our strong profitable growth. I’ll speak more about the business in a few moments, but first, I’ll turn the call over to Joe to provide a detailed perspective on our financial results for the quarter. 
Joseph Kelley: Thank you, Naga, and good morning to everyone.  On Slide #5, you’ll see third quarter fiscal 2022 sales were a record $662 million, an increase of 2% compared to the prior year’s third quarter sales of $647 million. The increase was primarily related to 4% organic volume growth plus the NDC acquisition, offset by unfavorable currency impacts of 5%. On a constant currency basis, our sales increased 7% compared to prior year third quarter, which was the previous quarterly sales record.  The organic growth was broad-based across most end markets and geographies except for Asia Pacific, which was impacted by the Shanghai, China COVID lockdowns for the first month and a half of this fiscal third quarter, as expected. We are very thankful for the outstanding efforts of our China employees as their return in full force helped to offset a significant portion of the lockdown impact and contributed to the record sales quarter. Gross profit for the third quarter of fiscal 2022 totaled $366 million or 55% of sales, a slight increase compared to the $365 million or 57% of sales in the prior year third quarter. Excluding one-time restructuring costs, adjusted gross profit totaled $368 million or 56% of sales. The team continues to actively manage the price-cost dynamic in these inflationary periods in addition to unfavorable currency impacts.  Operating profit totaled $185 million in the quarter. During the quarter, we recorded one-time restructuring costs associated with a facility consolidation in the EFB division of the ATS segment and the closure of our Russian operations. Adjusted operating profit, excluding these non-recurring items, was $188 million in the quarter or 28% of sales compared to the strong prior year third quarter operating profit of $188 million.  Organic sales volume leverage contributed to the operating profit result and was offset by unfavorable currency impact and inflationary pressures. EBITDA for the third quarter was $213 million or 32% of sales, which is ahead of our long-term target of 30%.  Looking at non-operating expenses, other net expenses decreased $3 million primarily driven by lower non-operating pension costs and foreign currency exchange gains. Tax expense was $39 million for an effective tax rate of 21% in the quarter, which is in line with our prior year third quarter rate and the forecasted full year rate for 2022.  Net income in the quarter totaled $142 million or $2.45 per share. Adjusted earnings per share, excluding severance and facility closure costs, totaled $2.49 per share, a 3% increase from the prior year. This improvement is reflective of the year-over-year increase in sales and, more importantly, the consistent application of the NBS Next growth framework which leads to steady, profitable growth.  Now let’s turn to Slides 6 and 7 to review the third quarter 2022 segment performance. Industrial precision solution sales of $341 million decreased 1% compared to the prior year third quarter, but grew 5% on a constant currency basis, with the NDC acquisition providing a 7% sales increase which was offset by an organic volume decrease of 1%. The unfavorable currency impact on this segment was 7%.  The organic 1% decrease needs to be properly interpreted as IPS’ third quarter 2021 was a very strong quarter, 10% above the quarterly average in fiscal 2021 as it was inclusive of several large system orders which customers pulled forward. Also, the IPS segment’s China operations are headquartered in Shanghai and therefore the segment was disproportionately impacted by the COVID lockdowns in May and June of this year. The organic growth, excluding these factors, was driven by robust demand for packaging and product assembly product lines in the food and beverage industry and industrial end markets in most geographies.  Operating profit for the quarter was $120 million or 35% of sales, which is a decrease of 3% compared to the prior year operating profit of $124 million. Unfavorable currency negatively impacted operating profit despite comparable sales to the prior year record third quarter. Moving now to advanced technology solutions, sales were $321 million, a 7% increase compared to the prior year third quarter and sequentially beat the second quarter 2022 quarterly revenue record for this segment. The record quarterly sales included an increase in organic sales volume of 10% offset by unfavorable currency impacts. Growth was across all major product lines but particularly strong in the electronics dispense and biopharma fluid component product lines. All geographies contributed to this quarter’s growth with particular strength in the international regions.  Third quarter fiscal 2022 results for ATS included $2.5 million of non-recurring facility closure expenses associated with the consolidation of manufacturing operations within the EFD division. This consolidation will enable improved operating efficiency and customer service levels to support the growth of this division once complete. Third quarter adjusted operating profit excluding the consolidation expense was $89 million or 28% of sales, an increase of 10% over the prior year operating profit of $81 million. The profit growth was driven by sales volume leverage offset partially by currency and inflationary pressures. This segment continues to deliver impressive sales growth at very attractive 40%-plus incremental operating profit margins. Deployment of our NBS Next growth framework continues to be a key element in the success of this segment delivering profitable growth. Finally turning to the balance sheet and cash flow on Slide 8, our third quarter balance sheet includes cash of $129 million and net debt was $675 million, resulting in a 0.9 times leverage ratio based on the trailing 12-months EBITDA. We continue to have significant available borrowing capacity to pursue organic and inorganic growth opportunities, such as the CyberOptics acquisition announced on August 8. Free cash flow in the quarter was $111 million or a conversion rate on net income of 78% as strategic investments are being made in inventory to address portions of the current supply chain constraints and increase capacity to address the growing backlog. Dividend payments were $29 million in the quarter and our board approved a 27% increase in the annual dividend effective in the fourth quarter of fiscal 2022. This marks the 59th consecutive year the company has increased its dividend. The significant increase of 27% reflects the strength of our financial results, which are driven by our continued progress in executing the Ascend strategy combined with the desire to maintain targeted payout and yield ratios. The annual dividend yield now will be slightly over 1% at current market prices. Also, with the ongoing market volatility, we again capitalized on the opportunistic repurchase of shares. Year to date, we have spent over $230 million on share repurchases averaging a price of $219 per share.  For modeling purposes in fiscal 2022, assume an estimated effective tax rate of 21% and capital expenditures of approximately $50 million.  I will now turn the call back to Naga. 
Sundaram Nagarajan: Thank you Joe.  We are working through incredibly dynamic times, yet our teams continued to meet the needs of our customers. It is their dedication and focus on our customers that resulted in another record-breaking quarter. I want to pause and say thank you to our employees. You make these results possible.  We continue to manage through the challenges of the short term macro environment and we are making solid progress on our Ascend strategy. As illustrated on Slide 9, we announced our decision to realign our business segments to better focus on our best profitable growth opportunities. Effective August 1, we reorganized into three financial reporting segments.  Industrial precision solutions led by Jeff Pembroke will focus on proprietary dispensing and processing technology for adhesives, coatings, paints, finishes, and other materials across diverse end markets. Jeff joined Nordson in 2005 and has driven growth in multiple businesses across Nordson. He also was instrumental in the development of our medical platform.  The new medical and fluid solutions segment will include Nordson’s fluid management solutions for medical, high tech industrial, and other diverse end markets. This remains one of the company’s growth engines both organically and acquisitively. This segment is being led by Stephen Lovass. Stephen joined Nordson in 2016 as the leader for the industrial coating solutions business. In 2020, he was appointed the head of our Strategy and Corporate Development group where he has actively advanced our Ascend strategy.  Finally, our advanced technology solutions segment will focus on test and inspection, precisely controlled dispensing, and surface treatment for electronics applications. Srini Subramanian is leading this segment. Srini joined Nordson in 2006 and has served in roles of increasing responsibility in corporate development, business management, and global market development. Srini was most recently Vice President of the Electronics Processing Solutions division where he is successfully driving the execution of the NBS Next growth framework.  Our new reporting structure will give better visibility into our medical and electronics platforms, which have grown significantly through both organic and acquisitive opportunities. I’m also pleased that this structure gives us the opportunity to recognize and promote from within Nordson and advance our winning team strategy. We will share historic financials reflecting this new segmentation after the third quarter fiscal 2022 10-Q filing. Turning to Slide 10, I’m pleased to highlight the new acquisition agreement that we announced earlier in August. Nordson has a very disciplined acquisition strategy. We’re focused on acquiring businesses with differentiated precision technology that serve attractive high growth end market applications. We have been building platforms in two end markets that meet these strategic criteria: medical and test and inspection.  In the test and inspection platform, we have built a significant product offering for our electronic customers in X-ray and acoustic inspection. Using the NBS Next growth framework, the test and inspection division identified optical inspection as a high growth application in this end market. Further, our deep understanding of the semiconductor customer and industry trends indicates that the 3D automated optical inspection product category is growing double digits.  Optical inspection, which takes a picture of the surface level of an application such as semiconductors or printed circuit boards is an efficient non-invasive inspection method. CyberOptics, which established itself as a leading global developer and manufacturer of high precision 3D optical sensing technology solutions provides a new growth platform for us with existing and new customers in the electronics end market.  CyberOptics utilizes a proprietary sensor technology called MRS that significantly reduces reflection to create higher quality 3D image in diverse electronics applications. The innovative CyberOptics sensors combined with advanced software results in high quality images at market-leading speed, precision and resolution.  The company also has introduced WaferSense technology, which is a wireless diagnostic tool that provides real time data to ensure the calibration and process reliability of wafer production systems. Today this type of inspection requires machines to go offline, so WaferSense offers in-line diagnostic inspection that will improve a customer’s product quality and throughput efficiency. This technology will allow Nordson to further expand into the front end of the semiconductor manufacturing process where Nordson has limited presence today. We are very excited to soon add CyberOptics’ differentiated technology into Nordson’s portfolio. This acquisition meets the strategic and financial expectations we outlined during our investor day in March 2021. We expect this deal to close in our first quarter of fiscal 2023. We will invest in this business to extend the technology to meet emerging customer needs and scale their global sales and service infrastructure to make their technology accessible to a broader range of electronics customers. Now let’s turn to our updated fiscal 2022 outlook on Slide 11. Order entry remained strong throughout the third quarter with a favorable book-to-bill ratio maintaining backlog at over $1 billion. This growth in backlog is partially related to the ongoing extended shipment request dates for large customer orders in electronics, industrial and medical end markets. For the full year fiscal 2022, we are confirming our previously provided revenue guidance of 8% to 9% growth and adjusted earnings growth in the range of 18% to 21% over fiscal 2021, despite the increased currency headwinds. This is approximately 20% earnings growth following a record 2021 financial performance. It is a testament to our dedicated employees and the solid execution of the SN strategy.  Our financial results and expectations for profitable growth is rooted in our differentiated precision technology, customer-centric model, and diversified end markets. Additionally, the ongoing implementation of NBS Next is making sure that we have a crystal clear view of our best growth opportunities and we remain disproportionately invested in them during this dynamic environment. As always, I want to thank our customers, shareholders and the Nordson team for your continued support. With that, we will pause and take your questions. 
Operator: [Operator instructions] Your first question comes from the line of Allison Poliniak from Wells Fargo. Your line is open.
Allison Poliniak: …and your results certainly about that trend in your commentary about strength in end markets certainly there. Any differences that you’re seeing, maybe some of your earlier cycle order entry filling, just any dynamics that you’re seeing that maybe you are raising some red flags in your head? And I guess in line with that, how do you view this portfolio now that you’ve built through cycles? It seems much significantly more defensible as we go forward here with particularly strength in that medical and some of the technology businesses, so just any thoughts there?
Sundaram Nagarajan: Allison, we missed the earlier part of the question. If you don’t mind, could you repeat it? Maybe I missed it.
Allison Poliniak: Yes, I would say just any red flags that you’re starting to see. I know you talked to order entry being pretty strong still, but just any sort of normalization or slowing or some cautiousness around some of your customers that are out there today?
Sundaram Nagarajan: Sure. In general, as we indicated and our results show, it was a very broad-based demand environment that we are experiencing today, and points of strength, as we indicated, electronics, medical. We also saw some really good strength and solid order entry, as well as revenue profiles in our industrial businesses, and our consumer-facing businesses in North America were particularly strong as well.  As you think about orders, our comps are beginning to get difficult, right? If anything, that’s probably what you would see, but in general very solid in electronics, very solid in medical, pretty good strength in industrial, so.
Joseph Kelley: I would just - in the quarter, our order entry from a strength standpoint was again a favorable book-to-bill, so that’s the seventh consecutive quarter where we’ve been adding to backlog. So despite the record sales, order entry was north of our sales.
Allison Poliniak: Got it. And then the new segment structure that you put out there, I just recall ATS kind of before that push into medical was extremely volatile. How should we think of that volatility in ATS today? Is that test and inspection balancing some of that volatility that you’ve historically seen there?
Sundaram Nagarajan: Yes. If you think about our electronics business, and we’ve talked about this now for some time here, our electronics dispense business as such has gotten more broader and more diverse in the applications, as well as test and inspection is less volatile when compared to dispense and hence what you find really is less cyclical than before, but it is still a tech-facing business, it still has some cyclicality, might be amplitude of the cycles being muted is our expectation. 
Allison Poliniak: Understood. Thank you.
Operator: Your next question comes from the line of Connor Lynagh. Your line is open.
Connor Lynagh: Yes, thank you. I was wondering if we could dive in on the CyberOptics acquisition a little bit more. Could you maybe discuss the competitive positioning of the company, sort of why you found it to be an attractive target? And then the second portion of this, if you could just detail some of the cost synergies. It seems like that was a meaningful portion of the deal.
Sundaram Nagarajan: Yes, if you think about CyberOptics, CyberOptics is a leading global design developer of 3D optical inspection. And the reason we call that out as 3D optical inspection is that they have some unique technology around something called MRS, which is really -- which suppresses the reflection coming off of shiny surfaces. So what you find really is they are really strong in this and that leads to highly precise at greater speeds of 3D images than their competitors. So their competitor advantage really is on speed, precision and resolution. What we find is, they’re about a $100 million company in a market space about $1 billion, so we felt or we believe that there is an opportunity here for us to continue to expand their wonderful technology into existing customers of Nordson and use our global infrastructure to be able to gain share in the marketplace and certainly continue to solve problems for our existing customers. So from our perspective, it is -- the 3D inspection is a double-digit growing part of test and inspection technology, so a much faster growth rate that our existing test and inspection technologies, which are still growing nicely at high single digits, but 3D optical inspection is growing at double digits. So really like the growth rate, really like the technology, really like the market position and hence the combination of CyberOptics’ technology with Nordson’s market presence and commercial infrastructure, believe that this is a really good addition to our portfolio. And Joe, do you want to take the question on synergies?
Joseph Kelley: Yes. Thank you, Naga. Yes, so when you think about the $6 million of cost synergies, I would tell you there’s two main buckets. One is greater than 50% of those cost synergies are simply eliminating the public company costs. As you’re aware, CyberOptics is a public company, and so there’s some cost synergies there that are north of 50% of the total. The other one I would tell you is, when you look at Nordson’s global sales infrastructure, there’s opportunity there to leverage our physical infrastructure around the world to more efficiently support their existing sales force and start to leverage their presence in other geographies, and that’s the remainder I would tell you of the $6 million cost synergies.
Sundaram Nagarajan: I’d add one more thing on CyberOptics, and it is an important piece of why we have decided to go this route, is that the technology of CyberOptics is exceptional in our mind, and we intend to continue to invest in this technology to meet emerging customer needs. And so yes, we have the synergies, but it’s also equally important to remember that this is the reason we acquired CyberOptics, is really to invest in the technology and support the growth that they have experienced, which is incredibly good compared to their peers. 
Connor Lynagh: Makes sense, thank you. I was wondering, just broadly speaking within this value chain, are there any other areas that you see as particularly high growth, particularly compelling for further capital allocation?
Sundaram Nagarajan: You know, there are a number of other opportunities out there that we continue to evaluate, so the opportunity pipeline looks pretty good. But in terms of this area, traditionally we have spent most of our time in the back end of the semiconductor manufacturing and also we’ve spent more time in components, as well as PCBs. What CyberOptics brings us is more exposure to the front end where we have limited opportunities, and so the front to middle part of semiconductor manufacturing still is an area where Nordson’s capabilities align yet our presence is limited, so we do see opportunities there. 
Connor Lynagh: All right, thanks very much. I’ll turn it back.
Operator: Your next question comes from the line of Christopher Glynn with Oppenheimer. Your line is open.
Christopher Glynn: Thank you, good morning. Congrats on the deal. Was curious on the longer cycle side of the business, you mentioned industrial markets along with electronics and medical, but in the industrial markets with the long lead time, large orders, I’m curious if you could kind of differentiate among your industrial end markets, where you’re seeing those long lead time, larger orders land.
Sundaram Nagarajan: If you think about our industrial coatings business, this is just one of those businesses where we have pretty--we have customers placing orders much into 2023, right, and so really we find--and it’s not only our industrial but they’re also consumer-facing, for example our container coating business is doing really well and the backlog is pretty strong as we look forward into 2023, we see some pretty good strength. Similarly what you’re--on a broader basis, this is a trend that has been talked about but continues to emerge, which we see some strength in the U.S., is that as our customers think about supply chain constraints and as they begin to re-shore manufacturing to more regional places, we do see opportunities for our industrial businesses to continue to have strength and opportunities to grow.  You know, our newly acquired NDC Technologies, which we call it as the mission control systems business within Nordson, is also seeing some pretty good strength. Here, just as a reminder, what we manufacture here are sensors or sensing technologies that go on automated lines of manufacturing, so if you’re in the food and beverage industry, our sensors detect and ensure that the chip, for example, has the right crispness, and if you are in a film cast line, it measures the thickness of the film to make sure that high quality film is produced.  Again, our sensor technologies aiding automation, another secular trend that we are very excited, that positions Nordson to continue to grow. 
Christopher Glynn: Great, thanks. Just wanted to touch on the short cycle industrial space - you know, how you’re seeing the continuity there, particularly on some of the consumables, the OEM content that you sell.
Sundaram Nagarajan: Yes. If you think about our OEM consumer-facing businesses, especially in our adhesive business, we have new applications that we’re very excited about. In electric vehicles, we’re starting to gain some traction there. Electric vehicle battery manufacturing is not completely solidified yet, but the number of emerging applications that are very beneficial to Nordson’s hot melt adhesive and other technologies, so very excited about that. On consumer packaging, interestingly enough, in North America our businesses continue to have pretty good strength. In Europe as well, we seem to have good strength, but in Europe it gets muted by the currency headwinds that we are facing right now.
Christopher Glynn: Thanks for all the color.
Joseph Kelley: Yes, if I could just add a little color in number terms - I mean, if you look at our growth rate in the United States, it was up organically 5%, which is accelerating from our year-to-date growth rate in that business.
Christopher Glynn: Got you, thanks Joe.
Operator: Your next question comes from the line of Jeff Hammond with Keybanc Capital Markets. Your line is open.
Jeff Hammond: Hey, good morning everyone. 
Sundaram Nagarajan: Good morning Jeff.
Joseph Kelley: Good morning.
Jeff Hammond: Just back on the order front, any indications you’re getting from customers that they’re going to start to kind of normalize the order patterns and kind of get away from this less long dated focus, or is that continuing to play out? Then just separately, I think Naga, you said electronics still very strong, but we’ve gotten a lot of mixed messages on semi capex, and just wondering how you’re kind of looking behind the scenes to understand any cracks there. 
Sundaram Nagarajan: Yes, so let me take the electronics question first and then we’ll talk about that.  In terms of electronics, what you’re beginning to find is that based on what we see with our customers, our sales model, which is a direct sales model so we have direct interactions with our--customers don’t have distributors in between, the order entry still looks pretty solid and still continues to be robust for our teams, both in the dispense side of the business as well as in test and inspection.  The thing to remember is something that has changed about electronics and digital businesses is that now electronics is just not limited to consumer goods, right? Electronics is much broader, a bigger part--a significantly bigger part of how people conduct business. Think about the explosion in cloud, think about number of different technologies now have become a common part of doing business, be it a Zoom call or a Teams call. All of this has digital infrastructure behind it that needs to continue to be supported, so. Our teams find that our electronics businesses and the need for electronics in this digital economy is much more broader than it ever has been, and so that might be part of the explanation why we continue to see strength in electronics for a longer period than before - that is one, and the second is the complexity of these devices, semiconductors, there is a lot of work going on to ensure throughput and quality of these devices, and hence we see our test and inspection businesses benefit from this trend about--you know, not quite 100% but pretty darn close to more in line examination and inspection than offline sampling, so you see that benefit. From an electronics business, from what we can see, what we have visibility to do, and we do have a lot of visibility because of our direct sales model, we feel really good about where the business is at today. In terms of our customers and order pattern changing, we have not seen it normalize yet, that people are coming back now. In the past, we used to have backlog for a quarter ahead, but now we have several quarters in front of us, right, and I think unless--at least, this is just my personal perspective, as we resolve supply chain issues and people feel more confident about our supply chain, not just Nordson’s supply chain but global supply chain, this is not going to change, so until we have that, it is going to be this long dated orders is just people feeling I need to get my orders in line so that my project, which is going to come online in a year from now, doesn’t get delayed.  You know, I wish I could give you a more clear answer, but that’s what we’re seeing. We continue to see our customers keep the same pattern that we have seen in the last four to six quarters, that still are reflected in this large backlog we have, and I have not seen it normalize yet.
Jeff Hammond: No, that’s great color. Then just maybe a preview on the segment change, any light you can shed on rough--I don’t know if the business is ex-CyberOptics or going to be 50/50 between medical and electronics, or--you know, kind of size those, and should we expect a material difference in the margin profile or the growth profile of those businesses?
Joseph Kelley: Yes, shortly after filing our 10-Q, we’re going to issue a press release which will give you all the historical information financially for the new segments, going back quarterly 2019, ’20 and ’21, so [indiscernible] will be in that release.
Jeff Hammond: Okay, and then just a housekeeping, corporate expense was a little bit higher. How should we think about that run rate into 4Q?
Joseph Kelley: Yes, I would just take and think about the [indiscernible] average in corporate expense on a quarterly basis is the run rate. That’s how I would think about that.
Jeff Hammond: Okay, thanks so much.
Joseph Kelley: Thanks.
Operator: Your next question comes from the line of Saree Boroditsky with Jefferies. Your line is open.
Saree Boroditsky: Thanks, good morning. Just building on the last question on the new reporting structure, can you just talk through how you are thinking about the independent long term growth outlook for the medical and fluids business and then ATS, and then how should we think about incremental margins on the separate businesses?
Joseph Kelley: Yes, so kind of like we highlighted at our investor day, when you think about the medical business and the long term growth rate there, if that was your question, Saree, that has, I think, a higher growth rate given the mega trends in that market and the applications with which we serve, and so that’s slightly higher than our ATS business and the new segmentation, which is predominantly on the electronics side. I would tell you it’s probably about 200 basis points higher in terms of growth rate in the medical. Then as it relates to incremental margins, as you’re aware on organic growth, we have committed to 40% to 45% incremental margins on our organic growth, and you see that a little bit higher in the IPS segment over the recent quarters, past several quarters, but going forward, I would commit to the 40% to 45% in all three of our segments.
Saree Boroditsky: Great, thank you, and then you mentioned a facility closure in the quarter, I think in ATS. Would you expect to see a margin benefit from this closure, and could you quantify that for us?
Joseph Kelley: Yes, the margin benefit as we consolidate that facility, I don’t think there’s going to be a material change in that. It’s predominantly to support the growth and supporting that growth at the incremental margins of 40% to 45%, so I would tell you as kind of a capacity play as we consolidate it into and expanded an existing facility and consolidate it from a separate facility. 
Saree Boroditsky: Great, and if I could just squeeze one more in, I think your earnings guidance still has kind of a wide range for the fourth quarter. Could you just talk through the assumptions at the bottom and top end of the range, and what would you need to see to hit the higher or lower end? Thank you.
Joseph Kelley: You bet. Yes, so when you think about our Q4 2022 guidance, first of all, I would tell you maintaining the guidance range suggests an increase in the organic growth forecast, given the fact that FX was a greater headwind than it was when we initially gave the guidance, and so when you think about Q4, our guidance at the midpoint suggests about 10% sales growth and about a 20% earnings growth, and so considering the 5% FX headwind, that’s about a 15% constant currency growth rate in Q4. Saree, to answer your question, on the lower side, who knows where the exchange rates are going to move. There was some volatility, as you saw in Q3, and that has continued in Q4, and then I would tell you there’s just some overall, I would say, uncertainty in the marketplace, whether it’s geopolitical, if you look at the COVID lockdowns that we experienced in Q3 in Shanghai and if that will have any recurring impact in Q4, we don’t know, and so it’s just the overall, I would tell you, volatility of the supply chain which continues to be a challenge as well as currency, which kind of has us maintaining the lower end of the range. If you look at the upper portion of our guidance range, it kind of suggests that Q4 from a sales standpoint should be comparable to Q3 at the record level $662 million, and then as we also look at the upper end of our guidance range from an earnings perspective, it suggests, let’s just say 23% growth, however sequentially the earnings is down from Q3, and I would tell you there’s two main factors that we’re taking into consideration there. One is IPS sales mix is expected to be less favorable in Q4 given the composition of the backlog and items scheduled to ship. This sequentially has a negative impact on profitability when you compare it to Q3 specifically. Then secondly, the stronger U.S. dollar - I mean, with the euro at near parity or below for the forecast for Q4 compared to where it was in Q3, this again has a negative impact on earnings when you look sequentially compared to Q3.  Those are some of the thoughts that went into our guidance, maintaining our guidance, which is really increasing our organic growth forecast.
Saree Boroditsky: Great, I really appreciate the color. Thanks guys.
Operator: Your next question comes from Mike Halloran with Baird. Your line is open.
Pez: Hey, good morning everybody. This is Pez [ph] on for Mike. 
Joseph Kelley: Hi Pez.
Pez: Wanted to dig into the backlog a little bit. Just wanted to clarify - I believe you said backlog was up sequentially based on the commentary, and then also mentioned continuing to see the extended shipment dates. Previously they were booking several quarters out. Is that extending, is that shortening, is it about the same?  Then also, could you maybe discuss the composition of backlog, maybe how that’s changed quarter-over-quarter?
Joseph Kelley: Yes, just specifically, order entry exceeded our sales, so it was very slight but it was an increase in our backlog, and so it remains north of $1 billion. I would tell you it’s basically maintaining the timeline that we saw in Q2 in terms of getting in line order entry and backlog. It’s predominantly, I would say disproportionately heavily weighted on the systems side where the longer lead times are. Some of our parts and consumables are more book and ship, as you know, and so there’s not a heavy backlog there; but when you look at some of our systems businesses, it’s going out, as Naga mentioned, into ’23. Your question, has it changed? It has--that dynamic hasn’t changed from Q2 to Q3. It remains the same, I would tell you. 
Pez: Then could you maybe discuss how that’s changed your visibility going into F2023? Obviously backlog is elevated versus prior years going into--sorry, calendar 2023, obviously backlog is elevated going into next year relative to prior years. Does that give you a little bit more comfort in the strength for the--excuse me, the sales conversion in the front half of next year, and does that give you a little bit more visibility on the front half?
Joseph Kelley: Yes, I would tell you for the systems business, yes, it does give us better visibility. Think how we used to run with a $400 million backlog, and now we’re running with a backlog of $1 billion. Clearly the heavy systems businesses, there’s greater visibility, but I’d also tell you in some of our medical businesses, there’s better visibility than there used to be in the past, so that does, I would tell you, help us in terms of our forecasting accuracy. That being said, there is a large portion of our business which remains with a shorter cycle time of book and ship, and so it’s not even across the board, like I said earlier.
Pez: Great, thank you. That’s all helpful color. I’ll pass it on.
Joseph Kelley: Thanks Pez.
Operator: Again if you would like to ask a question, press star and then the number one on your telephone keypad.  Your next question comes from the line of Chris Dankert with Loop Capital. Your line is open.
Chris Dankert: Hey, morning everyone. Thanks for taking my questions here. I guess Naga, you’ve given us some really great color on CyberOptics and just some of the unique capabilities there, but I guess wafer level test inspection, it’s a much more competitive space than some of the back end niche stuff that Nordson’s been doing historically. Is it because of the unique capabilities that we moved into this, or is there really an impetus to move further into the wafer-level inspection and kind of get into that space in a much more meaningful way, and how should we think about the TAM for T&I following this deal?
Sundaram Nagarajan: You know, if you just think about just the TAM for CyberOptics itself, it’s about $1.3 billion. There are two things very unique about CyberOptics. The 3D inspection is something that Nordson does not have, right? We have a small optical business, but really we buy CyberOptics MRS sensor to make 3D inspection happen for us, so really we’re already a customer of CyberOptics so we understand the capabilities of CyberOptics’ technology.  Wafer-level inspection is a great opportunity, but in some of the wafer-level opportunity for CyberOptics really, they sell the critical component, which is the MRS sensor, to their customers who build the broader system, right, so it kind of resembles some of our other businesses where we sell the critical component into a major machine that one of CyberOptics’ customers markets, right, so that’s an example of it.  Our interest in this business is that CyberOptics also sells 3D inspection systems in the back end. It is not just exclusively to the front end, right? The reason we highlight front end is that because we already do back end and middle end, we don’t do the front end, that’s really what we were trying to do, so it is not about that we want to move exclusively into front end or greater opportunities in front end, it is just and what we do in the back end, right, so that’s sort of how I think about it. The other exciting technology that CyberOptics brings to Nordson is very different, which is their WaferSense technology, which is an online monitoring of manufacturing systems in wafer production. That is completely new for us, and I think that again puts us in a place where it’s a small device but performs a very critical function, adds a lot of value, so two exciting technologies we bring with the company, continue to expand our test and inspection portfolio, and all rooted in this secular trend of things becoming smaller, things becoming more complex, and hence test and inspection becoming more in line, more 100% rather than sampling, so a good secular trend for us and adding more capability.  You know, optical is--one more thing on optical inspection is that optical inspection is viewed as something that doesn’t impact the component it’s inspecting, so you think about our X-ray inspection, it impacts not the first time but after the tenth time, it would impact the component it is inspecting, but optical inspection, that does not happen, so inherently optical inspection continues to grow as an inspection method and we wanted to make sure that we have a presence in that space.
Chris Dankert: Got you, thank you Naga. That’s very helpful color. It sounds like you are really picking your spots in that front end space, so thank you. I guess by way of follow-up, and again know we’re not talking about fiscal ’23 yet, but just given the size of the backlog, is there any lumpiness to keep in mind as we’re shaping and building out the out year here?
Joseph Kelley: Yes, I would tell you if you look at our guidance for Q4 and what we just delivered in Q3, different than last year in the back half when you saw lumpiness in terms of our Q3 performance versus our Q4. It’s really starting to, I would say, level out. You also saw that in our strong Q1 compared to historically lighter Q1s if you go back several years, so from a lumpiness, I would tell you it’s started to level out as opposed to increase. There’s one other point I’d like to make as a little bit of follow-up on Saree’s question on our Q4 guidance and properly interpreting our Q3 results. When you look at Q3 profitability by segment, there were changes in inventory valuation related to switching from LIFO method to FIFO method and obsoleting older product lines. The net impact of the adjustment was immaterial to the consolidated Nordson results in the quarter, but when looking specifically at the segment profitability in Q3 2022, these adjustments favorably impacted IPS and unfavorably impacted ATS by about 100 basis points, so when thinking about our Q3 performance and forecasting into Q4, I think that’s important to understand despite the fact it was immaterial to the consolidated Nordson.
Chris Dankert: That’s really helpful, Joe. Thank you so much for that. 
Operator: Your next question comes from the line of Matt Summerville with DA Davidson. Your line is open.
Matt Summerville: Thanks. Just two quick questions. First, can you comment on where Nordson stands right now price versus cost, and then maybe just a quick word on the M&A pipeline beyond CyberOptics, comment on go-forward actionability, what the funnel looks like, multiples you’re seeing. Thank you.
Joseph Kelley: Yes, maybe Naga, I’ll take the price versus cost - again, it was favorable in terms of we were successful in passing through the cost increase in terms of pricing, but it was negative impact from a margin standpoint because it’s not like remaining cost increase plus 56% on top of it, it was simply favorable from a pass through standpoint.
Sundaram Nagarajan: In terms of our pipeline, it continues to be very active, continues to be pretty strong. We have a very disciplined acquisition strategy, very focused strategically around our medical businesses and our test and inspection businesses. Clearly if we find a core technology that is adjacent to what we do, we certainly will take a look at it, but we remain focused on medical and test and inspection. The pipeline itself is pretty good. Actionability - you know, it is very difficult to say. Given the kind of volatility, it seems that it’s difficult to predict, so I wouldn’t comment much about the actionability other than we continue to cultivate our pipeline, continue to--and CyberOptics was a great example, right? We had known CyberOptics for a number of years, we just had a nice opportunity to take that opportunity and convert it to--you know, get to a place where we were able to have an agreement, so. Actionability depends, is the best way I could say it, but we are very pleased with the strength of the pipeline and the activity we have got going on. On valuation, in some areas we have, at least public equities, look like they’ve moderated, but we are playing in highly differentiated businesses, highly differentiated end markets as well as technologies. We expect to pay market multiples, but we’re going to be highly disciplined on our financial return metrics, and so hopefully our last two deals that we have announced, NDC as well CyberOptics, are a good indicator of entering markets where it is very strategic to us and has a great opportunity for us to grow the company while at the same time being financially disciplined. 
Matt Summerville: Got it, thank you guys.
Operator: There are no further questions at this time. Naga, I turn the call back over to you.
Sundaram Nagarajan: Our continued performance reflects the strength of our differentiated precision technology, customer-centric model, and diversified end markets. Again, I want to thank Nordson’s employees for their perseverance and commitment which makes these results possible. The continued deployment of NBS Next and the Ascend strategy will ensure we remain well positioned in this dynamic environment. Thank you for your time and attention on today’s call. Have a great day.
Operator: This concludes today’s conference call. You may now disconnect.